Operator: Good morning. I will now turn the call over to Scott Parsons, Alamos' Senior Vice President of Corporate Development and Investor Relations. Please go ahead.
Scott Parsons: Thank you, Patrick, and thanks to everybody for attending Alamos' Second Quarter 2025 Conference Call. In addition to myself, we have on the line today, John McCluskey, President and Chief Executive Officer; Greg Fisher, Chief Financial Officer; and Luc Guimond, Chief Operating Officer. We will be referring to a presentation during the conference call that is available through the webcast and on our website. I would also like to remind everyone that our presentation will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes included in the presentation, news release and MD&A as well as the risk factors set out in our annual information form. Technical information in this presentation has been reviewed and approved by Chris Bostwick, our Senior VP, Technical Services and a qualified person. Also, please bear in mind that all of the dollar amounts mentioned in this conference call are in U.S. dollars unless otherwise noted. Now John will provide you with an overview.
John A. McCluskey: Thank you very much, Scott, and good morning, everyone. I draw your attention to Slide 3. Second quarter production totaled 137,000 ounces, in line with quarterly guidance and up 10% from the first quarter, reflecting stronger performances from all three operations. With a further increase in production expected in the second half of the year, we remain on track to meet our full year production guidance. We've been providing guidance like this for a very long time. We take it very seriously. We put a lot of effort into coming up with these numbers, and we're very confident in our forecast. The stronger operational performance contributed to an 18% reduction in all-in sustaining costs compared to the first quarter. Costs are expected to decline further in the second half of the year as production continues to increase, driven by higher grades and tonnes processed. In mid-July, the Island Gold mill was shut down with the higher grade underground ore now being processed within the larger and more productive Magino mill. This transition will allow us to start realizing significant processing cost synergies at the Island Gold District for years to come. With a stronger production, lower costs and higher gold prices, we realized record revenues and cash flow from operations. We also delivered strong free cash flow of $85 million, while funding our growth projects and exploration programs. At current gold prices, we expect strong ongoing free cash flow while reinvesting in our high-return growth projects that will support further free cash flow growth. As a result of higher-than-budgeted share price compensation and royalty expense through the first half of the year and a slower start at Magino & Young-Davidson, we are revising our 2025 cost guidance. Full year all-in sustaining costs are expected to be 12% higher than our original guidance with approximately 40% of that increase attributable to external factors. From a cost perspective, our first half performance was not reflective of our long-term track record of meeting or exceeding expectations nor is it reflective of our strong outlook. We expect a significant improvement in both production and costs into the second half of the year that will -- that trend of growing production and declining costs expected to continue over the next several years, anchoring one of the strongest outlooks in our sector. Turning to Slide 4. Key driver of that strong outlook is our expanding Island Gold District. During the quarter, we released the base case life of mine plan for the Island Gold District, integrating the Island Gold underground and Magino open pit operations. As outlined in the study, the Island Gold District is expected to become one of the largest, lowest cost and most profitable gold mines in Canada. The base case life of mine plan was prepared using mineral reserves only and outlined average annual production of 411,000 ounces at mine site all-in sustaining costs of $915 per ounce over the initial 12 years. As a base case, this is a very attractive operation, and we believe there is a significant upside to come. Turning to Slide 5. An expansion study is currently underway and is expected to outline an ever larger and more profitable operation. Our base case plan is based on combining milling rates of 12,400 tonnes per day. Within the expansion study, we expect to be evaluating an expansion to 20,000 tonnes per day, which we expect to support higher mining rates from the underground and the open pit. Additionally, through ongoing infill drilling, we expect to incorporate a larger mineral reserve through the conversion of a significant portion of the 5 million ounces of resources not incorporated into the base case. The expansion study remains on track for completion during the fourth quarter of this year. There is also longer-term growth potential beyond the expansion study is expected to outline support significant increase in near mine and regional exploration. Late in the second quarter, we provided an exploration update that demonstrated the potential across the Island Gold District. Recent drilling continues to extend high-grade mineralization across the Island Gold deposit as well as within several hanging wall and footwall structures. Turning to Slide 6. The regional exploration program has also been successful in intersecting high-grade gold mineralization in proximity to past producing mines, including Cline-Pick and Edwards mines. Some of those highlights include drill holes grading 8 grams per tonne over 21 meters, 19 grams per tonne over 5 meters and 56 gram per tonne over 2 meters. The early results have been impressive, extending high-grade mineralization beyond the extent of historic mining. These targets are located within 7 kilometers of the Magino mill and represent opportunities for additional high-grade mill feed with a larger mill expansion. They also highlight the significant potential we see across our 60,000 hectare land package within the underground -- within the underexplored Michipicoten greenstone belt. Our portfolio of high-return projects supports one of the strongest growth profiles in the sector. We expect steady growth and declining costs over the next several years, driven by the completion of the Phase 3 expansion -- towards the latter part of 2028, we expect Lynn Lake to take our consolidated production rate to over 900,000 ounces per year at well below industry average all-in sustaining costs. Longer term, there's excellent potential to increase production to approximately 1 million ounces per year through further expansion of the Island Gold District. We expect to outline this upside in the expansion study that we will release in the fourth quarter. Turning to Slide 5 -- pardon me, turning to Slide 8. We expect strong ongoing free cash flow while funding this growth. Following the completion of the Phase 3+ expansion, we expect to generate even stronger levels of free cash flow starting next year. This growth is expected to continue with the completion of our PDA and Lynn Lake projects such that at current gold prices, we expect our annual free cash flow to exceed $1 billion. I'll now turn the call over to our CFO, Greg Fisher, to review our financial performance.
Greg Fisher: Thank you, John. On to Slide 9, we sold approximately 135,000 ounces of gold in the second quarter at an average realized price of $3,223 per ounce for record revenues of $438 million. The average realized price was below the London PM fixed price for the quarter, primarily as a result of delivering over 12,300 ounces into the gold prepayment facility based on a prepaid price of $2,524 per ounce. We will continue to deliver the same quarterly number of ounces into the facility until the obligation is completed by year-end. As a reminder, the prepaid facility was executed in July 2024 with the proceeds utilized to retire 180,000 ounces of forward sale contracts inherited from Argonaut Gold across 2024 and 2025 with an average price of $1,840 per ounce. Total cash cost of $1,075 per ounce and all-in sustaining cost of $1,475 per ounce decreased 10% and 18%, respectively, from the first quarter. Costs are expected to trend lower through the remainder of the year as production increases, driven by higher grades and tonnes processed. Our reported net earnings were $159 million in the second quarter or $0.38 per share. This included $17 million of unrealized losses on commodity hedge derivatives, net of tax, $34 million of unrealized foreign exchange gains recorded within deferred taxes and foreign exchange loss and other adjustments totaling $2 million. Excluding these items, our adjusted net earnings were $144 million or $0.34 per share. Operating cash flow before changes in noncash working capital was a record $233 million in the second quarter or $0.55 per share. Capital spending totaled $115 million and included $34 million of sustaining capital, $72 million of growth capital and $10 million of capitalized exploration. Free cash flow for the quarter totaled $85 million, a significant increase from the first quarter, driven by strong contributions from all three operations. This included $55 million from the Mulatos District, $52 million from the Island Gold District and a record $59 million at Young-Davidson. Following the release of our first quarter results, we are active on our share buyback, repurchasing 400,000 shares at a cost of $10 million. Including our quarterly dividend of $11 million, we returned $21 million to shareholders in the quarter. Our cash balance at the end of the second quarter grew to $345 million and combined with the undrawn balance on our credit facility, our total liquidity is $845 million. With production increasing and cost decreasing through the remainder of the year, supporting strong ongoing free cash flow, we are well positioned to internally fund our growth plans. Moving to Slide 10. As John outlined earlier on the call, we have increased our full year cost guidance. This reflects higher-than- budgeted share-based compensation and royalty expense through the first half of the year as well as a slower start to the year at Magino and Young-Davidson. Full year total cash costs are now expected to be between $975 and $1,025 per ounce and all-in sustaining costs between $1,400 and $1,450 per ounce. This represents a 12% increase in all-in sustaining cost guidance with approximately 40% of the increase attributable to external factors. This included the revaluation of previously issued share-based compensation given the significant increase in our share price during the first half of the year and higher royalty expenses given the sharply higher gold price. Consistent with our updated guidance, we expect a significant improvement in our costs in the second half of the year. We expect costs to continue to trend lower over the next several years, driven by low-cost production growth. I'll now turn the call over to our COO, Luc Guimond, to provide an overview of our operations.
Luc Guimond: Thank you, Greg. Over to Slide 11. Production from the Island Gold District totaled 64,400 ounces, a 9% increase over the first quarter, driven by higher combined milling rates from the Island Gold and Magino mills. Production is expected to increase further through the remainder of the year, reflecting higher mining and processing rates. Island Gold delivered a strong quarter with both underground mining rates and grades in line with annual guidance. Magino's mining rates averaged 13,700 tonnes of ore per day in the quarter, a 16% increase over the previous quarter. Mining rates are expected to increase in the second half of the year to be consistent with annual guided levels of 14,800 tonnes per day. Costs declined slightly from the first quarter with a more significant decrease expected in the second half of the year. This is expected to be driven by higher milling rates within the Magino mill and increasing underground mining rates at Island Gold. Mine site free cash flow increased to $52 million, more than double the first quarter, an impressive performance given the ongoing reinvestment in growth through the Phase 3+ expansion and a significant exploration program. The Island Gold District remains well positioned to self-fund its expansion plans with significant free cash flow growth expected from 2026 onwards. Moving to Slide 12. The performance of the Magino mill continued to improve during the quarter, with milling rates increasing 18% from the first quarter to average 8,500 tonnes per day. Following the installation of a redesigned liner and bulk configuration within the SAG mill earlier this month, throughput rates have steadily improved to average approximately 9,500 tonnes per day in the second half of July. We will remain on track to reach 11,200 tonnes per day later this quarter. Reflecting the improved performance of the Magino mill, the Island Gold mill was shut down mid- July and underground ore is now being processed within the larger and more productive Magino mill. Since the introduction of higher- grade underground ore, the mill has performed well with recoveries from the blended ore consistent with expectations. Moving to Slide 13. The Phase 3+ expansion continues to progress well with the shaft sink currently at a depth of 1,265 meters, representing 92% of its ultimate planned depth. The remainder of the shaft sink is on track for completion in the fourth quarter of this year. Other progress during the quarter included completing cladding and roofing for the bin house, advancing work on the paste plant, which is now 70% complete and completing both earthworks for the administrative complex and the mill expansion to 12,400 tonnes per day. Lateral development also continued to advance, which is expected to support higher mining rates later this year and following the completion of the overall expansion. Over to Slide 14. Work is also underway on the evaluation of a larger expansion of the mill beyond 12,400 tonnes per day. Detailed engineering for the larger mill expansion is ongoing and expected to be completed by early 2026. To support a potential larger expansion, the earthworks for the new mill building was sized with a footprint that can accommodate an expansion up to 20,000 tonnes per day. The new building will be configured to allow for additional leachings as well as a second SAG and ball mill, all of which can be sized to support increased processing rates of up to 20,000 tonnes per day. The larger mill is expected to have a parallel circuit dedicated to processing a higher grade blend of underground and open pit ore. Given the increased capacity, a larger expansion is expected to allow for higher underground and open pit mining rates. We look forward to outlining the upside potential within the expansion study later this year. Over to Slide 15. As of quarter end, we spent and committed 79% of the total Phase 3+ expansion capital of $835 million. The expansion is expected to be completed in the second half of 2026 and will be a significant driver of low-cost production growth and free cash flow generation. Over to Slide 16. Young-Davidson produced 38,700 ounces, a 9% increase from the first quarter with further improvement expected in the second half of the year, driven by higher mining rates and grades. This is also expected to drive costs lower compared to the first half of the year. Mining rates improved over the first quarter, but were lower than targeted levels. Higher-than-average snowfall and precipitation earlier this year led to a significantly higher-than-normal spring melt. This resulted in the increased inflow of groundwater into parts of the underground mine. This impacted the ability to skip ore to surface, resulting in nearly one week of downtime in May. Additionally, mining rates were impacted by power outages caused by storms in the region. Managing groundwater is a normal part of operating an underground mine. The increased inflow in the second quarter and resulting downtime was the first occurrence in 15 years of operating Young-Davidson. Through enhanced regional watershed management practices and increased pumping capacity, this is not something we expect to recur in the future. Mining rates are expected to improve in the third quarter following a planned 5-day shutdown for rope changes in the Northgate shaft that was completed in July. We expect a further increase to targeted levels of 8,000 tonnes per day in the fourth quarter. Grades mined and milled were consistent with the low end of full year guidance. Grades mined are expected to be at similar levels in the third quarter, but increased in the fourth quarter. Reflecting higher milling rates through the remainder of the year and higher grades in the latter part of the year, we expect a much stronger second half. Young-Davidson generated record mine site free cash flow in the quarter of $59 million and $98 million in the first half of the year, putting the operation on pace for another annual record in 2025. Over to Slide 17. The Mulatos District delivered a solid quarter and achieved a significant milestone, producing its 3 millionth ounce of gold over its 20-year history in operation. With at least another decade of production defined within PDA and a number of other emerging opportunities for higher grade ore within the district, we expect more milestones to come. Production during the quarter totaled 34,100 ounces, a 12% increase over the first quarter, reflecting higher grades stacked. Further increases in quarterly production are expected as a significant portion of the higher grades stacked in the second quarter will be realized over the second half of this year. Costs decreased 18% compared to the first quarter with a further reduction expected in the second half of the year. Mulatos remains well positioned to meet its production and cost guidance for the year. PDA development continues to advance with a focus on detailed engineering during the second quarter. Spending will accelerate in the second half of the year with the commencement of underground development and placement of long lead time orders for the mill. The Mulatos District generated mine site free cash flow of $55 million in the second quarter. With stronger free cash flow expected in the second half of the year, driven by higher production and lower costs. The operation is well positioned to continue generating strong ongoing free cash flow while funding the construction of PDA. With that, I will turn the call back to John.
John A. McCluskey: Thank you, Luc. Our operations demonstrated a significant improvement in the second quarter. We expect this trend of growing production and declining costs to continue into the second half of the year and over the next several years. The Island Gold District will be a key driver of this improvement. Transition of processing high-grade island ore within the Magino mill was one of the last key steps towards integrating the operations and realizing significant cost synergies going forward. I'll now turn the call back to the operator to open the call for your questions.
Operator: [Operator Instructions] The first question is from Ovais Habib from Scotiabank.
Ovais Habib: Really great to hear that Magino Mill is ramping up and that Island Gold ore is being processed at Magino. John, a couple of questions from me. The first one, I mean, look, it was widely expected that you would increase the AISC guidance. So glad that's out of the way. And I'm glad you maintained the production guidance as well. John, I'm getting a lot of questions on this. So I just want to make sure that I'm asking this on this conference call. How confident are you in meeting the production guidance comfortably? And what levers you have within your portfolio to make sure the production guidance remains on track?
John A. McCluskey: Let me put it in this perspective, Ovais. I've been the CEO of the company since 2003. I've participated in close to 90 quarterly calls. We've been giving guidance all along, starting from the time when we were trying to get the mine built, which we managed to achieve the first mine Mulatos. So we achieved it in record time and brought it in on budget. This was in 2005, very, very difficult time in the market, and we were operating those days in a wing and a prayer. And we've been giving guidance all through that period, and we are remarkably accurate over that period of time. You can check it out for yourself. If you look for 14 consecutive quarters up to Q1 of this year, we basically either met or we beat our production and cost guidance. So here we are. We had -- we got off to a slow start this year. We had very difficult conditions in Canada this year, that affected both our operations at YD and Island Gold. But we got through it. It has had an impact on our cost guidance for this year. We just won't be able to catch up from a cost perspective to met our cost guidance, and so we revised it. But with respect to production, we're very confident. We're very confident. We would not have reiterated guidance if we did not have that type of confidence. I mean we revised cost. We could have just as easily revised production guidance if it was required. We didn't think that was required. You want to add something, Greg?
Greg Fisher: I could just touch on the drivers a little bit as Ovais asked about. I mean, we outlined our Q3 guidance to be between 145,000 and 155,000 ounces, and we expect Q4 to step up even higher than that. And really, the key drivers are going to be at YD. At Young- Davidson, it's higher milling rates. It's higher milling rates and grades are going to drive that in the second half of the year, and we had expected that from when we released our original guidance in January. With Island Gold, Magino is ramping up. So we'll have higher milling rates from Magino, but we're also looking to step up the underground mining rates coming from Island Gold given the fact that we have the bigger mill now. And then at La Yaqui Grande, we stacked very good grades in Q2. We're going to continue to stack good grades or higher grades in Q3 and Q4. So it's just a matter of where the ounces coming off the pad. So all of those things are going to drive our production significantly higher in the second half of the year.
Ovais Habib: I just want to move on to the exploration side then. John, when we were visiting the Island Gold site in June, your team was really highlighting exploration potential in close proximity to the Magino mill, the regional kind of exploration work, plus you guys were hitting some interesting intersections on the west side of Island Gold. Any of these drill targets really standing out? And are we expected to see more results from this area? That's part 1. And then part 2 of the question is also, is the plan to delineate a source to feed the Magino mill from these areas before you release the expansion study?
John A. McCluskey: Look, we have exciting exploration results coming from right across the company. We've made some interesting new discoveries down in Mexico. We've been hitting into some fabulous grades, as I outlined in my comments, as far away as 7 kilometers from our mill in areas of workings. We had high expectations for those areas. They've come in very well. We've been drilling. We've actually been focusing quite a lot of our effort converting resource to reserve, so we can incorporate more reserves into this big expansion study we're coming up with on the fourth quarter. We're having excellent results on that front. But I've got Scott R.G. Parsons sitting next to me here. And I'm going to turn it over to him to give further color to your question.
Scott Parsons: Thank you for the question, Ovais. There's a number of opportunities as we touched on that our team is very excited about. I'm equally excited. We touched on some of the surface drilling and underground drilling we've been doing between Island Gold and Magino. And that area is essentially the up plunge extension of the Island West zone. And as we establish underground drill platforms and continue drilling from surface, we continue to define high-grade mineralization in that area. So that's no surprise to us, and it's just a matter of time before we could get there and start drilling it. We continue to have success in the hanging wall footwall zones. Those are all incremental ounces in terms of ounces per vertical meter in proximity to existing infrastructure. So those all continue to expand, and we -- as we define new zones as well. And the most exciting part is Islands down plunge. It continues to remain open at depth below 1,500 meters. This is shallow in terms of these gold systems in Canada. We have indications from earlier drilling that Island continues down plunge. And later this year, once we've pivoted back from our delineation drill program, we will continue exploring Island at depth. And then as John touched on as well, near-mine opportunities, including Cline and Edwards and Pick. These are historic mines, 7 kilometers from the Magino mill. They've gone through a series of different operators over the years. We've consolidated all the land there. And really, it's a new gold system we're just starting to explore. And you can see the results already this year are quite encouraging, and we'll be continuing to drill at those targets going into the second half of the year.
Ovais Habib: And Scott, I mean, based on this drilling and the drilling results expected, I mean, is the plan to kind of have these results incorporated into the expansion? Or is this kind of the next phase of that expansion that these opportunities would be brought into any sort of production profile at the Island Gold complex?
Scott Parsons: Our absolute focus right now is getting the inferred mineral resource base at Island converted to indicated to bring that into the expansion study before year-end. There's about 1 million ounces sitting there that we're actively drilling on from surface and underground right now, and we're on track, trying to complete that program for the year-end expansion. The other targets I referenced will be more longer term -- midterm targets in terms of Clien, Edwards and Pick. There's also the [ North Shear ], which I didn't touch on. But those will come in as new -- what I would anticipate as new resources in the midterm that would provide potential opportunities for higher-grade mill feed at Magino.
Operator: The next question is from Cosmos Chiu from CIBC.
Cosmos Chiu: Maybe my first question is on Young-Davidson. Just to talk about the higher levels of groundwater due to the spring melt. Has that been fully resolved just to confirm that the groundwater is now normalized?
Luc Guimond: Cosmos, yes, Luc here, yes, it has been resolved. It was -- as we mentioned, it was kind of a bit of a perfect storm there with a quick spring melt and significant precipitation during the spring melt as well, which added more water within the regional watershed. And resulted in more groundwater inflowing into the mine. We're more adhere to making sure that we understand the whole regional watershed and keeping an eye on that moving forward for the longer term as well as we've actually added some additional pumping capacity as backup to our -- both our open pit dewatering as well as our underground dewatering. So we don't expect that event to happen again. And as we've mentioned, we've been operating there for 15 years. It's the first time this sort of significant event happened, but we feel we have it addressed moving forward.
Cosmos Chiu: Great. I guess there's no pun intended when you said perfect storm. Maybe on the throughput here, you did 7,190 tonnes per day in Q2. Reading your MD&A, you will get to 8,000 tonnes per day, but likely not until Q4. Am I correct in that interpretation?
Luc Guimond: Yes. I mean we had a rope change schedule part of this year for the head ropes at the Northgate shaft, and that occurred early July. Post completion of that rope change, we've been running at 8,000 tonnes per day. But obviously, when you factor in the number of days over the course of the quarter, we'll probably come in around 7,500 to 7,600 tonnes per day for the quarter. But as we move into Q4, we don't have any significant scheduled maintenance requirements for the plant and would expect to be running at 8,000 tonnes per day.
Cosmos Chiu: Great. And then also at YD, I think you mentioned that in Q3, grades will remain at the lower end of full year guidance and closer to 2.05 gram per tonne. Is that as expected? And was there any ability on your end to potentially mine higher grades in Q3, even maybe in Q2 to offset the lower than 8,000 tonnes per day throughput?
Luc Guimond: No. I mean we've got a pretty committed schedule with regards to the extraction sequence for the underground. And again, it's just to manage the overall regional extraction of the waterbody to be responsible as far as the mining phase of what we're doing for Young- Davidson. So I mean, really, the lower grade being at the lower end of guidance has been a function of, obviously, the slower first half of the year, not mining all the tonnes that we expected and as well as a slight change in sequence has resulted in us being more at the lower end of guidance as opposed to maybe being near the mid or upper end of guidance. But as we move through the mine plan through the second half of the year, it is pretty flat line between Q2, Q3. But as we move into Q4, as per our mining sequence that we expected, we will be getting into higher grades that would be more near the higher end of our guidance. And then the other point I would make is based on where we had been mining, even though there has been a slight sequence change or we haven't mined all of the tonnes from a reconciliation point of view, the planned grades that we were expecting are aligned with the actual grades that we've been seeing from a reconciliation point of view.
Cosmos Chiu: And then maybe just a few numbers question on Island Gold. As you mentioned, with the transition of the Island Gold ore to the Magino mill, recovery looks to be as expected. So how should we look at recovery? Like in Q2, it was 98% for Island Gold, 95% for Magino. So should we just take a weighted average and that should be kind of the expectation we should expect on a go-forward basis?
Luc Guimond: Yes. Our expectation based on the blended mill feed into the Magino mill with the Island ore as well as the Magino ore, the expectation should be an overall recovery of about 96% is what you should expect.
Cosmos Chiu: Okay. Great. And then in terms of the redesign liner and the both configuration of the SAG mill. Just to kind of confirm, you now have the configuration needed at the Magino mill to achieve your near-term target of 11,200 tonnes per day. So it's just really down to kind of getting it up and running, availability and things like that, you don't need to change anything else.
Luc Guimond: Correct. I mean the last step really there was just having more plant availability for the SAG mill. And by making the change that we did in early July with the liner configuration as well as the bolts, that will give us more industry standard plant availability for the SAG mill moving forward to be able to continue that ramp-up to strive for the [indiscernible] that we're expecting as we move through the quarter.
Cosmos Chiu: And then one last question on the grades at Magino, the open pit. As you mentioned, 0.82 gram per tonne in Q2. How should we look at the mine grade on a go-forward basis? I think your full year guidance is anywhere between 0.8 to 0.9 gram per tonne, your reserve grade is 0.91. So could you remind us how we should look at grade? Or does it really matter given that you stockpile at the lower grades anyways and what's actually going to the mill is high?
Luc Guimond: Yes. I mean if you look at what we processed in Q2, we averaged about 0.94, which falls within our guidance of that 0.9 to 1.05. So obviously, the mine grade overall is always going to be a bit lower because we're stockpiling the low grade and feeding the best grade material. So really, the way you should look at it is on a basis of what we're going to be processing in the quarter -- on a quarter- by-quarter basis moving forward, certainly in the second half of the year, we should be within that range of 0.9 to 105 coming from Magino ore.
Operator: [Operator Instructions] The next question is from Don DeMarco from National Bank.
Don DeMarco: Good to see the strong free cash flow in Q2 while keeping the projects on track. So first question for me is at Island. And congratulations on the shutdown of the Island mill. Now Magino mill throughput, I understand it's running around 9,500 tonnes per day in the last couple of weeks of July. So what should -- what do you expect the throughput profile to be through the rest of the quarter over August and September? Like do you expect a quick ramp-up to 11,000 tonne per day and potentially even exceed it or a more moderate increase maybe reaching 11,000 tonne per day in September?
John A. McCluskey: Yes, Don, it's Luc here. It will be a bit of a gradual ramp-up as we continue to move forward through the quarter. But certainly, as we hit our stride in Q4, we'd be more consistently we were running at [ 11 2 ]. Just with the liner change that we've just completed, the liner and bulk change, we're -- we've got the ball chart setting that we're looking at optimizing certainly as well as there's a little bit less volume with the new liners. So that's part of where the gradual ramp-up occurs through the quarter, but we would expect to hit our stride certainly in Q4.
Greg Fisher: Yes. And just to add, the critical thing for us is to ensure we're maximizing the amount of underground ore that's coming from Island, and that's continuing to be where we expect it to be.
Don DeMarco: Okay. Great. Yes, it was mentioned in response to an earlier question that you plan to step up the processing of the high-grade ore at the Magino mill. So should I take this as that Island might contribute more than 1,200 tonnes per day to the mill in Q3 or Q4?
Luc Guimond: Yes. I mean as part of our Phase 3+ expansion and our ramp-up, our mining rates were starting to gradually increase from the Island underground component. So yes, through the second half of the year, you will start to see there would be more contribution from Island underground ore going into the Magino mill on a combined basis. We'd be targeting about 1,400 tonnes per day.
Don DeMarco: Okay. But should that be through 1,400 for the entirety of H2? Or -- how should we look at Q3 versus Q4?
Luc Guimond: Q3, you're running around 1,300 tonnes per day. Q4, we'd be running at about 1,400 tonnes per day.
Don DeMarco: Excellent. And it's great to hear that, John, as a final question, you reiterated the consolidated production guidance. Are you expecting to achieve production guidance at all the mines? Like of course, Young-Davidson and Island are currently running at the low end of their respective ranges. So just wondering if it's on a consolidated basis or if there's any additional color on a mine-by-mine basis?
John A. McCluskey: We hit it on a consolidated basis, you've got to hit it mine by mine. So we give variations across each of those operations, just given the unforeseen things that can happen in mining operations. But all things being equal, we're quite confident in the guidance we provided on a mine-by-mine basis and on a consolidated basis.
Operator: There are no further questions at this time. This concludes this morning's call. If you have any further questions that have not been answered, please feel free to contact Mr. Scott Parsons at (416) 368-9932 extension 5439. Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.